Operator: Greetings, and welcome to China Automotive Systems' Second Quarter 2021 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn this conference over to your host, Mr. Kevin Theiss, Investor Relations. Thank you, sir. You may begin. 
Kevin Theiss: Thank you, everyone, for joining us today. Welcome to China Automotive Systems' 2021 Second Quarter Conference Call. Joining us today are Mr. Qizhou Wu, Chief Executive Officer; and Mr. Jie Li, Chief Financial Officer of China Automotive Systems. They will be available to answer questions later in the conference call with the assistance of translation. 
 Before we begin, I will remind all listeners that throughout this call, we may make statements that may contain forward-looking statements. Forward-looking statements represent the company's estimates and assumptions only as of the call date of this call. 
 As a result, the company's actual results could differ materially from those contained in the forward-looking statements due to a number of factors, including those described under the heading Risk Factors in the company's Form 10-K annual report for the year ended December 31, 2020, as filed with the Securities and Exchange Commission and in other documents filed by the company from time to time with the Securities and Exchange Commission. 
 If the outbreak of COVID-19 is not effectively and timely controlled, our business operations and financial condition may be materially and adversely affected as a result of the deteriorating market outlook for automobile sales, the slowdown in regional and national economic growth, weakened liquidity and financial condition of our customers or other factors that we cannot foresee. 
 Any of these factors and other factors beyond our control could have an adverse effect on the overall business environment, cause uncertainties in the regions where we conduct business, cause our business to suffer in ways that we cannot predict and materially and adversely impact our business, financial condition and results of operations. 
 And for long disruption, or any further unforeseen delay in our operations of the manufacturing, delivery and assembly process within any of our production facilities could continue to result in delays in the shipment of products to our customers, increased cost and reduced revenue. 
 The company expressly disclaims any duty to provide updates to any forward-looking statements made in this call, whether as a result of new information, future events or otherwise. On this call, I will provide a brief overview and summary of the second quarter and first 6 months results of the period ended June 30, 2021. Management will conduct a question-and-answer session. The following 2021 second quarter and first 6 months financial results are unaudited and are reported using U.S. GAAP accounting. For the purposes of our call today, I'll review the financial results in U.S. dollars. 
 We will begin with a review of the recent dynamics of the Chinese economy, automobile industry and China Automotive's market position. 
 Our net sales rose by 45% year-over-year in second quarter of 2021 following a year-over-year 77% rise in the first quarter of 2021. For the 6 months of 2021, our net sales increased by 60.1% year-over-year to $250.9 million. Our advanced hydraulic steering products in ForEx grew by 43.9% year-over-year in the second quarter of 2021 to $97.4 million. Net sales in electric power steering, EPS, increased almost 50% year-over-year to $23.2 million and represented 19.2% of total sales. 
 The Chinese economy continues to expand from the impact of the COVID-19 pandemic in 2020. GDP grew by 7.9% year-over-year in the second quarter of 2021, down from the 18.3% in the first quarter of 2021, but still solid economic growth. GDP for the first half of 2021 was 12.7% higher than a year ago. According to statistics from the China Association of Automobile Manufacturers, CAAM. Chinese automobile sales interim rose by 8.6% year-over-year led by a 10.8% increase in passenger vehicles. 
 In May, automobile sales declined by 3.1% with a 12.4% decrease in June. For the 6 months ended June 30, 2021, CAAM reported that Chinese Automobile sales grew 25.6% year-over-year with passenger vehicle sales of approximately 10 million units, representing a 27% gain ahead of last year. 
 Sedan sales increased 26.2%, MPV unit sales were up 25.2% and SUV sales grew by 28.6%. In the first 6 months of 2021, new energy vehicles, NEV sales were approximately 1.2 million units, representing a 201.5% year-over-year growth. The sale of NAV passenger vehicles increased by 217.4% to 1.1 million units and NEV commercial vehicle unit sales reached 66,000 units, up 61.5% in the first 6 months of 2021.
 In the first 6 months of 2021, the sales of Chinese domestic branded vehicles, our main market, increased by 46.8% year-over-year to 4.2 million units, taking 42% market share, up 5.7%. 
 For the first 6 months of 2021, commercial vehicle sales in China increased by year-over-year with bus sales rising by 39.7% and a much larger truck market up 19.4% according to CAAM statistics.
 The traditional bus market benefited from the phasing out of generous EV subsidies. And truck growth was partially generated by a significant prebuy of National V emission compliant vehicles before the stricter National VI emission standards are nationally mandated in July 2021 for diesel engines. Additionally, truck sales benefited by stronger anti-overloading enforcement and new infrastructure projects.
 These growth percentages partially reflect comparisons to the lower-than-normal sales in the first half of 2020 caused by the '19 -- the COVID-19 disruptions in China and abroad. Each of our operating units achieved double-digit growth, except our sales to the commercial vehicle market, which had a slight downturn in the second quarter of 2021. Exports to our Tier 1 customers in North America grew by 179.8% as the auto market there rebounded when pandemic lows. 
 As previously announced, we have been selling more EPS products into the electric vehicle producers, including Great Wall, Chery auto, Beijing Auto and JAC Motors. The outlook continues for approximately $200,000 of our EPS units to be supplied to the EV market alone in 2021. Our gross profit increased by 102.6% year-over-year to $15.8 million with a gross margin of 13.1% higher than the 9.4% reported for the second quarter of 2020. Total operating expenses increased 18.9% year-over-year.
 Income from operations was $119,000 compared to a loss of $5.2 million in the second quarter of 2020. A combination of net other income, financial income and equity in the income of affiliated companies helped generate net income attributable to parent company's common shareholders of $3.2 million compared with a loss of $4.1 million in the second quarter of 2020.
 In the first quarter of 2021, we introduced our new proprietary EPS system, which integrates and communicates with the vehicle's main data to create lane-keeping assist, automatic parking assist, lane centering and traffic jam assist functions as part of the company's advanced driver assistance systems known as ADAS, or more commonly referred to as autonomous driving system. 
 To further our ADAS capabilities in June 2021, we also announced our plan to purchase the 40% interest in Sentient AB, a Swedish automotive technology company specializing in software development and hardware design for advanced steering functions, vehicle motion control and autonomous drive. Sentient currently holds 10 patents in the software functions for steering vehicle, motion control and autonomous driving can be integrated with its proprietarily designed hardware solutions, including Powerpacks, that the SW, ECU, motor and housing and complete steering and gear systems. Sentient's motion control technology has been tested and demonstrated on EPS, angle overlay systems, steer-by-wire and fully autonomous vehicles, that's NHTSA Level 3 to 5. Sentient products have been in production since 2013 to provide drivers of superior steering experience. 
 In July of 2021, we announced that we entered into the LTOP, which is off tool of process phase for a new steering system developer from Alfa Romeo, a leading European brand. This new steering system will be for Alfa Romeo's first luxury compact plug-in hybrid SUV model to 2021 Tonale, which features the company's first plug-in hybrid powertrain. 
 Approximately 100,000 annual units are expected to be ordered for this new CAAS steering system. The LTOP and Alfa Romeo is CAAS's second project in Europe, and also the first project with a high-end brand under the Stellantis group of vehicles. 
 Also, we are proud that our wholly owned subsidiary, Hubei Henglong Automotive Systems Group Limited, received the ISO 26262:2018 ASIL-D certification. This is automotive safety integrity level from SGS TUV. SGS is recognized as the world's leading inspection verification, testing and certification company. Classifying both software and hardware components with different safety risk, ISO 26262:2018 ASIL features safety standards from A to D, with D being the highest and most stringent safety standard. Our D certification distinguishes us from many other peer companies. 
 Our strong financial strength provides resources to support the development of new technologies to enhance future growth and shareholder value. Our total cash and cash equivalents and pledged cash was $117.3 million as of June 30, 2021. Total parent company stockholders' equity rose to $312.2 million at June 30, 2021 from $303.2 million at the end of 2020. We have financial strength, a large customer base and a growing portfolio of advanced technology to further build our company and shareholder value. 
 Now let me review the financial results in the second quarter of 2021. Net sales increased by 45% to $120.6 million in the second quarter of 2021 compared to $83.2 million in the second quarter of 2020. Net sales of traditional standing products and ForEx increased by 43.9% to $97.4 million for the second quarter of 2021 compared to $67.7 million for the same period in 2020.
 Net sales of electric power steering, EPS products, was 49.7% to $23.3 million from $15.5 million for the same period in 2020. EPS product sales were 19.2% of the total net sales for the second quarter of 2021 compared with 18.6% for the same period in 2020. Export sales to North American customers rose to 179.8% to $31.9 million in the second quarter of 2021 compared with $114.4 million -- I'm sorry, compared with $11.4 million in the second quarter of 2020. 
 Gross profit rose by 102.6% to $15.8 million compared to $7.8 million in the second quarter of 2020. Gross margin in the second quarter of 2021 was 13.1% compared with 9.4% in the second quarter of 2020. The increase in gross margin was mainly due to higher net sales and increased gross profit in the company's Hubei Henglong long operations. Gain on other sales was $0.7 million compared to $0.8 million in the second quarter of 2020. 
 Selling expenses increased by 46.7% to $4.4 million compared to $3 million in the second quarter of 2020. The increase in selling expenses was primarily due to higher personnel expenses. Selling expenses represented 3.6% of net sales in the second quarter of 2021, also compared to 3.6% in the second quarter of 2020. General and administrative expenses, G&A, were $6.1 million compared to $4.8 million in the second quarter of 2020. G&A expenses represented 5.1% of net sales in the second quarter of 2021 compared to 5.8% of net sales in the second quarter of 2020. 
 Research and development expenses, R&D, were $5.9 million compared to $6.1 million in the second quarter of 2020. R&D expenses represented 4.9% of net sales in the second quarter of compared to 7.3% in the second quarter of 2020. 
 Our other income net was $1.5 million in the second quarter of 2020 compared to $1.3 million for the 3 months ended June 30, 2020. Income from operations was $0.1 million in the second quarter of 2021 compared to a loss of $5.2 million in the second quarter of 2020. 
 Interest expense was $0.3 million in the second quarter of 2020, substantially consistent with $0.4 million in the second quarter of 2020. Net financial income was $0.2 million in the second quarter of 2021 compared to net financial expense of $0.06 million in the second quarter of 2020. 
 The change in net financial expense was primarily due to achieving a foreign exchange benefit in the second quarter of 2021 compared with a foreign exchange expense in the second quarter of 2020. Income before income tax expense and equity and earnings of affiliated companies was $1.5 million in the second quarter of 2021 compared to a loss before income tax expense and equity in the earnings of affiliated company of $4.4 million in the second quarter of 2020. 
 Net income attributable to parent company's common shareholders was $3.2 million in the second quarter of 2021 compared to a net loss attributable to the parent company's shareholders of $4.1 million in the second quarter of 2020. 
 Diluted earnings per share was $0.10 in the second quarter of 2021 compared to diluted net loss per share of $0.13. In the second quarter of 2020. The weighted average number of diluted common shares outstanding was 30,855,406 in the second quarter of 2021 compared to 31,174,045 shares in the second quarter of 2020. 
 Now let's go over some 6 months financial highlights. Net income increased 60.1% to $250.9 million in the first 6 months of 2021 compared to $156.7 million in the first 6 months of 2020. 6 months gross profit was $35.6 million compared to $19 million in the corresponding period last year. 6 months gross margin was 14.1% compared with 12.1% in the first 6 months of 2020. 
 The gain on other sales was $2 million in the first 6 months of 2021 compared to $1.4 million in the corresponding period last year. Income from operations was $4.3 million in the first 6 months of 2021 compared with the loss from operations of $4.2 million in the first 6 months of 2020. 
 Net income attributable to parent company's common shareholders was $6.4 million in the first 6 months of 2021 compared to net loss attributable to parent company's common shareholders of $4.1 million in the corresponding period in 2020. Diluted earnings per share was $0.21 in the first 6 months of 2021 compared to a digit loss per share of $0.13 in the first 6 months of 2020. 
 Now I'll review a few balance sheet items. As of June 30, 2021, total cash and cash equivalents and pledged cash was $117.3 million. Total accounts receivable, including notes receivable, were $228.5 million. Accounts payable, including notes payable, were $220.4 million and short-term loans were $36.4 million. Total company's stockholders' equity was $312.2 million as of June 30, 2021, compared to $303.2 million as of December 31, 2020. 
 The business outlook. Management has raised revenue guidance for the full year 2021 to $495 million from $485 million. This target is based on the company's current views on operating and market conditions, which are subject to change. 
 With that, operator, we're ready to begin the Q&A. 
Operator: [Operator Instructions] Our first question comes from the line of William Gregozeski with Greenridge Global. 
William Gregozeski: With the EPS sales jump in, can we expect to see EPS sales growth outperform traditional steering products going forward? 
Qizhou Wu: [Foreign Language] 
Unknown Executive: [Interpreted] 
 In terms of growth rate, as the EPS growth is now -- our sales growth is now pacing at 49.7%. It's clearly faster than hydraulic steering systems. But in terms of revenue, EPS still only accounts for 19.2% total revenue. Longer run, we do see EPS will account more revenue -- accounts for more revenue than the traditional hydraulic product. But it will take some time. We see probably in the next -- within the next 3 years. 
William Gregozeski: Okay. All right. What was the reason for the commercial sales being down in the quarter? 
Qizhou Wu: [Foreign Language] 
Unknown Executive: [Interpreted] 
 Okay. It comes down to the year-over-year sales of the commercial vehicle. The second quarter 2020 coming off the tail of the recovery of COVID, the Chinese government issued a number of stimulus packages which propel a very robust sales second quarter last year. That makes a -- that built a very high base for the second quarter of this year to compare with. 
 So for that reason, in terms of sales units, year-over-year comparison, it seems that down, but still running at a very high rate in terms of overall commercial vehicle sales. 
 As you know, most of our commercial vehicle steering systems are ling in the domestic market. So that's been -- that's the main reason it's being affected. 
William Gregozeski: Okay. All right. Are you guys seeing any or having any issues or seeing concerns with the chip shortage? 
Qizhou Wu: [Foreign Language] 
Unknown Executive: [Interpreted] 
 Okay. Yes, we do see -- we do experience some impact from chip shortage during the second quarter, we are -- we saw about 20% to 30% shortage on the supply side, which is affecting our sales. Otherwise, our sales would have been even faster than the current growth rate on a year-over-year basis. 
 Many OEM auto makers are waiting for our EPS product. But because of this gap on the supply side, due to the chip supplier -- chip shortage, we had to let them wait. So that's affecting somewhat, affecting our EPS sales in the second quarter this year. 
 But starting July, we see some of the large chip producers are -- have increased their production. So we expect in the Q3 and Q4 -- coming up Q3, Q4, the pressure will be lessened. And we are still seeing overall -- probably would be 10% chip shortage than what we would have sold to the EPS product market. So -- but overall, we'll see EPS sales is going to be very, very strong this year. 
William Gregozeski: Okay. Can you provide a quick update on how things are going in Brazil? 
Qizhou Wu: [Foreign Language] 
Unknown Executive: [Interpreted] 
 We're seeing a very strong growth in Brazil in the second quarter of this year. Our sales from Brazil market was $6.2 million compared with USD 0.5 million in the same quarter last year, mainly due to the COVID impact in that market. 
 And in this first half of this year, our total revenue from Brazil is exceeded -- has already exceeded $10 million compared with USD 2.5 million last year. And for that reason and our overall order book, we expect full year 2020, our Brazil sales will be around $23 million to $25 million, that compared with $6 million or $7 million in 2020, so that's a major increase. And we already expected a high growth. But now we're seeing the growth outpacing our initial estimate. 
William Gregozeski: Last question is on Sentient. Can you talk a little bit more about that and what your plans are for it? 
Qizhou Wu: [Foreign Language] 
Unknown Executive: [Interpreted]  
 Okay. So as we disclosed in the past, Sentient is -- the company we acquired is the software and hardware leader specializing steering functions and vehicle motion controls. And it's an integral part of autonomous driving. So we're very, very excited about it. 
 And in terms of the areas, we'll be working with, there are 2 areas. One is in European market. We're going to work together from hardware perspective, CAAS will, from a hardware perspective, support the best-in-class hardware and custom made for their software. And so our engineering team will be working closely with Sentient team to integrate their software into our hardware and help them to win more -- our goal is to help them to win more contracts in the European market. 
 In China, we are -- since the Sentient has the L3, L4 product software designs and some of the hardware solutions. So we are marketing this product to the Chinese OEMs. We're aggressively marketing this. So we're looking to expand it in the Chinese market now with this technology. And we see -- we already see some interest from OEMs. So this is going to be the future of our company. 
Operator: [Operator Instructions] 
 Ladies and gentlemen, we have reached the end of today's question-and-answer session. I would like to turn this call back over to Mr. Kevin Theiss for closing remarks. 
Kevin Theiss: We thank you for joining us in today's conference call. Please be safe, and we look forward to speaking with you again. Thank you. 
Operator: Thank you for joining us today. This concludes today's conference. You may disconnect your lines at this time.
 [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]